Operator: Good morning. My name is Vaishnavi and I will be your conference facilitator. At this time, I would like to welcome everyone to Granite Point Mortgage Trust's First Quarter 2022 Financial Results Conference Call. All participants will be on a listen-only mode.  After the speakers’ remarks, there will be a question-and-answer period.  Please note, today’s call is being recorded. I would now like to turn over the call to Chris Petta with Investor Relations for Granite Point. Please go ahead.
Chris Petta: Thank you and good morning, everyone. Thank you for joining our call to discuss Granite Point's first quarter 2022 financial results. With me on the call this morning are Jack Taylor, our President and Chief Executive Officer; Marcin Urbaszek, our Chief Financial Officer; Steve Alpart, our Chief Investment Officer and Co-Head of Originations; Peter Morral, our Chief Development Officer and Co-Head of Originations; and Steve Plust, our Chief Operating Officer. After my introductory comments, Jack will review our current business activities and provide a brief recap of market condition, Steve Alpart will discuss our portfolio, and Marcin will highlight key items from our financial results. The press release and financial tables associated with today's call were filed yesterday with the SEC and are available on the Investor Relations section of our website along with our Form 10-Q.  I would like to remind you that remarks made by management during this call and the supporting slides may include forward-looking statements, which are uncertain and outside of the company's control. Forward-looking statements reflect our views regarding future events and are subject to uncertainties and could cause actual results to differ materially from expectations. Please see our filings with the SEC for a discussion of some of the risks that could affect results. We do not undertake any obligation to update any forward-looking statements.  We will also refer to certain non-GAAP measures on this call. This information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in our earnings release and slides, which are available on our website. I'll now turn the call over to Jack.
Jack Taylor: Thank you, Chris and good morning, everyone. We would like to welcome you all to our first quarter 2022 earnings call. We have made tremendous progress on our strategic priorities of repositioning our balance sheet and improving run rate earnings. As we discussed previously, we have been focused on deploying capital from loan repayments and the resolution of a few non-accrual loans into earning assets, refinancing our older inefficient and de-levered loan level funding vehicles to release and reinvest the capital trapped in these structures, and repaying our higher cost term loan borrowings.  We believe that our recent accomplishments in pursuing these priorities have the ability to meaningfully offset the earnings impact of rising short-term interest rates in the near term, and also position us well for the second half of the year, as our portfolio loan yields are expected to increase if short-term rates continue to rise. We are very excited to report a number of steps we have recently taken to improve run rate profitability and close and surpass the gap between our current stock price and our book value.  In late March, we sold our $54 million non-accrual senior loan on an office property located in Washington DC, which allowed us to redeploy capital into earning assets and repay expensive debt. At this point, we have resolved three of our four non-accrual loans. Our one remaining loan on non-accrual status is our first mortgage on a retail property in Pasadena, California, for which we are also actively pursuing various resolution strategies. In April, we refinanced about $590 million of loans from two of our legacy funding vehicles; our 2018 commercial real estate CLO and the structured financing facility with Goldman Sachs, both of which had meaningfully de-levered through repayments. The result of these transactions was a net release of about $180 million of capital and an attractive cost of funds. We are very pleased with this outcome as it lowered our cost of funds on the finance loans, helped us significantly re-lever a portion of our portfolio, and provided funds for repayment of higher cost borrowings and additional portfolio growth. With a portion of the capital release from the refinancing transactions, we recently fully repaid the $100 million of borrowings remaining under our senior secured term loan facilities, achieving yet another of our stated strategic goals. The full repayment of this higher cost corporate debt not only significantly reduced our cost of funds, which is not yet been fully reflected in our financial results, but also provided us with more balance sheet flexibility and the ability to further grow our portfolio. We believe that all of these actions, when fully reflected in our financial results in the coming quarters, have the ability to meaningfully improve our run rate profitability. Moreover, there are additional actions we intend to take which could provide even further benefits and drive attractive total returns for our stockholders. We are actively pursuing a few alternative resolutions with respect to the one remaining non-accrual loan, which is currently being held unlevered. Once resolved, redeploying the capital currently invested in this loan into earning assets should generate incremental earnings. We are also pursuing various opportunities to further rationalize our funding and increase our total leverage from 2.5 times at the end of Q1 closer to our target range of 3 times to 3.5 times, which would afford incremental portfolio growth opportunities that could further improve our run rate profitability. Additionally, as an internally managed REIT, we are well positioned to realize operating leverage benefits as we grow our business.  We continue to see a healthy flow of attractive lending opportunities and are focused on properties with favorable fundamentals. Given the ongoing uncertainties with respect to global events, the pandemic, supply chain disruptions, inflation, rising interest rates and credit spreads, we remain disciplined in our approach to investing, underwriting and loan structure. Given our liquidity and leverage, we are well positioned to take advantage of wider loan spreads and remain opportunistic in further improving our capitalization. With the amount of volatility global markets are experiencing, we believe that U.S. commercial real estate will continue to be viewed as a safe haven asset class by long-term fundamental investors. And our strategy of lending on a senior floating rate basis against institutional quality real estate should generate attractive risk adjusted returns over time. In summary, our strategic plan has been working well and we have already accomplished a lot over the last few quarters to reposition the balance sheet and improve our run rate earnings. One key net result of our actions on our overall capitalization structure is the replacement of higher cost secured term loan corporate debt with lower cost leverageable preferred equity. Additionally, resolutions of all but one of our non-accrual loans and refinancing of our inefficient funding vehicles helped reduce earnings drag from trapped capital and allowed for more reinvestment into earning assets.  Our business continues to deliver strong operating performance, led by our well diversified and resilient senior loan focused investment portfolio, generating solid run rate earnings supporting an attractive dividend. We believe that our recent accomplishments, when fully reflected in our financial results in the coming quarters, as Marcin will discuss in more detail later, will significantly benefit our run rate profitability and position Granite Point well for the second half of the year. We are currently pursuing the additional embedded opportunities to potentially provide incremental benefits with the ultimate goal of delivering attractive total returns to our stockholders. I would now like to turn the call over to Steve Alpart to discuss our originations, forward pipeline and portfolio.
Stephen Alpart: Thank you, Jack and thank you all for joining our call this morning. Our broadly diversified and defensively positioned portfolio continues to generate attractive returns while exhibiting a favorable credit profile. Over the last few quarters, we have generally seen positive credit migration within our portfolio, as we have resolved three of four non-accrual loans and have upgraded the risk ratings of select loans, driven by progress in the business plans of the collateral properties. During the quarter, our weighted average risk rating improved from 2.6 at December 31 to 2.5 at March 31, driven by new loan originations, the resolution of a 5-rated non-accrual loan, and the upgrading of nine loans, which includes about $100 million of loans changed from a risk rating category of 4 to 3 to reflect the improved credit profile of those investments. We closed four new loans totaling about $142 million in commitments and over $130 million of initial fundings, and about half of those loans closed in the last two weeks of March.  Our pace of first quarter originations was impacted by the timing of our capital raises and the timing of certain loan closings that occurred later in the quarter. We also funded over $34 million on existing commitments and $6 million in one loan upsizing, bringing total fundings to over $170 million for the quarter. Over 65% of our Q1 originations were secured by industrial assets and the balance by well-leased office properties.  Newly originated loans carry attractive risk-adjusted return characteristics, with a weighted average yield of SOFR plus 3.88 and a weighted average stabilized LTV of approximately 59%. During Q1, we realized about $172 million of repayments across various property types, inclusive of the office loan sale. Adjusting for the disposition of the non-accrual loan, our earning assets moderately increased quarter-over-quarter. Our portfolio ended the first quarter with an aggregate committed balance of $4.2 billion spread across 103 loans with an average balance of approximately $37 million and about $370 million of future funding commitments.  Our loans continue to deliver an attractive income stream with a favorable overall credit profile, generating a realized yield of about 5% with a weighted average stabilized LTV of 63%. Transitional property lending market remained active and healthy, notwithstanding increased market volatility. It remained disciplined and highly selective while picking the most attractive new loans for our portfolio. We continue to see an ample volume of attractive investment opportunities, with current pipeline of approximately $200 million of commitments and $165 million of initial fundings, which we expect to grow as we invest our excess liquidity and redeploy proceeds from loan repayments.  So far in the second quarter, we have funded over $140 million of loan principal, including approximately $12 million on prior commitments, and realized about $40 million of repayments. Over 75% of the loans in our current pipeline are secured by multifamily properties with the balance in other categories.  In summary, we continue to source and ample flow of attractive investments that meet our credit and return criteria, which we can often originate at lower leverage and wider spreads than what was available in prior quarters. Given the current market environment and our outlook on loan repayments, we anticipate moderately growing our portfolio over the remainder of the year. I will now turn the call over to Marcin for a more detailed review of our financial results.
Marcin Urbaszek: Thank you, Steve. Good morning, everyone and thank you for joining us today. Yesterday afternoon, we reported our first quarter GAAP net income of $1 million or $0.02 per basic share as compared to $6.7 million or $0.13 per basic share in Q4. Our GAAP earnings include a previously disclosed $5.8 million or $0.11 per basic share charge on early extinguishment of debt related to the $50 million partial repayment of the term loan from February and provision for credit losses of $3.7 million or $0.07 per basic share, of which about $0.04 were related to the sale of our non-accrual loan. Distributable earnings for the first quarter were $2.6 million or $0.05 per basic share, which include a previously disclosed realized loss on the loan sale of $10.1 million or $0.19 per basic share. Our Q1 distributable earnings before the write off were about $12.7 million or $0.24 per basic share, which is largely unchanged from the prior period. Additionally, we believe that the impact of short-term interest rates increasing towards the end of Q1 should be largely offset by the loan originations closed during the second half of March and the remaining benefit from the partial term loan repayment in mid-February. Our March 31 book value decreased to $16.39 per share from $16.70 per share last quarter as a result of transaction costs on the additional preferred shares issued in Q1 and the dividends exceeding GAAP earnings, which were affected by the factors I mentioned earlier. The first quarter book value includes an allowance for credit losses of about $0.67 per share.  Our total allowance declined by about $6.4 million or $0.12 per share quarter-over-quarter, mainly due to a write-off on the loan sale, which was partially offset by an increase in our general reserve of about $1.6 million or $0.03 per share as we employed a more conservative macroeconomic forecast and some changes in our portfolio mix.  Our total allowance represents about 86 basis points of our portfolio commitments as of March 31st. About $14 million of the $36 million total reserve is allocated to the one remaining non-accrual loan. We ended the first quarter with about $148 million of unrestricted cash, and as of May 9, had about $174 million in cash, reflecting our recently announced activities.  Our total debt-to-equity ratio at March 31 declined to 2.5 times from 2.7 times in the prior quarter, driven by the issuance of additional preferred equity and the partial repayment of the term loan during the first quarter. As Jack described earlier, we have made some changes to our balance sheet over the last couple of quarters by executing on our strategic priorities. Given those shifts, we would like to provide some additional information to better illustrate the potential impact of these actions on our run rate profitability when they are fully reflected in our results. Page 5 of our earning supplement illustrates those potential estimated impacts. Our current pipeline, most of which has already closed in Q2, is anticipated to benefit our earnings going forward. Our recent refinancing of legacy funding vehicles generated about $180 million of capital at an attractive cost of funds. The cost of this incremental capital is estimated to be more than offset by the savings generated by the full repayment of the remaining $100 million term loan borrowings, which occurred over the last couple of weeks.  As Steve mentioned, we are actively evaluating and quoting new loan investments and we will be redeploying the remaining excess liquidity over the coming months, which should potentially generate additional benefits. Taken together, we believe that these actions have the ability to meaningfully increase our run rate profitability and help reduce the impact of higher short-term interest rates on our earnings while positioning us to benefit from higher rates should they continue to rise later in the year. Thank you again for joining us today, and I will now ask the operator to open the call to questions.
Operator: Thank you.  Our first question comes from Steve DeLaney with JMP Securities. Please go ahead.
Steve DeLaney: Good morning, everyone and thanks for taking my question. I think, first, I'd just like to say congratulations on the strong progress with the non-accruals, and we really appreciate the Slide 5 that kind of shows the walk forward from the benefits from all of that activity. As far as this second quarter, because we have less -- I guess, fourth quarter and first quarter, we had the special charges related to debt extinguishment. And just to be clear, in the second quarter, we've got the final $0.21 charge on the PIMCO extinguishment, and I believe in your deck or your press release, you also mentioned $0.03 per share on Goldman, so negative $0.24. As far as you see things, are these the only non-recurring charges that you currently expect in the second quarter?
Marcin Urbaszek: Good morning, Steve. Thank you for joining us.
Steve DeLaney: Hi, Marcin.
Marcin Urbaszek: Thanks for your question. I appreciate the kind words. Yes, so far, that's -- those are kind of two items that we see related to sensitive refinancings and removing the high cost and inefficient debt on our liability side.
Steve DeLaney: Okay. And your 2.5 times debt to equity moving forward -- I realize it will take a couple of quarters, two or three probably, but do you see that approaching -- we sort of tend to think about 3 times -- 3.0 times debt to equity is being kind of a benchmark or a standard for the commercial mortgage REITs. Do you see that as achievable over the next several quarters?
Marcin Urbaszek: Yes. That's -- look, heading into the pandemic, we were 3.5 times levered debt to equity. Our target is 3 times to 3.5 times. Our goal is to definitely increase, get closer to that target leverage. We began obviously doing that already by refinancing some of these legacy vehicles and reinvesting the capital. There will be a slight pickup in leverage on that. And then as we continue to work through the rest of our plan, we would anticipate leverage to go up a little bit more, right. We have $100 million non-accrual loan that's sitting unlevered, so that's sort of $100 million of capital that's unearning -- not earning anything today. As we resolve that, which we expect to do at some point in the second half of the year, we can re-lever that capital, so that will also help with leverage portfolio growth and hopefully earnings as well.
Steve DeLaney: Right. All right. Well, congratulations again on the non-accruals. And to be clear, Pasadena, $114 million loan, is it accurate to say that is the only non-accrual loan in your portfolio remaining? Is that correct?
Marcin Urbaszek: Yes, that's correct.
Steve DeLaney: Okay. Thank you very much for the comments.
Marcin Urbaszek: Thanks.
Operator: The next question comes from Doug Harter with Credit Suisse. Please go ahead.
Douglas Harter: Thanks. Now that you've repaid the expensive debt and issued the preferred, I guess, how do you think about the composition of your capital today? Do you expect any other changes or any issuance to look to grow the capital base?
Marcin Urbaszek: Good morning, Doug. Thanks for joining us, and thank you for your question. Look, I think, before the pandemic, this is sort of where we were in terms of capitalization, equity, some unsecured on the convert side, we like to have a balanced capitalization structure, we like to have some unsecured debt on the balance sheet. So, I would say this is sort of close to where we were before. As we kind of go through the next several quarters, we don't anticipate major changes to the overall structure, may be some changes between how the loans are financed, whether they're in CLO and/or other different types of facilities.  But I think, overall, we'd like to keep it balanced, and kind of where we are, we don't see kind of very significant changes from that. But obviously, it will be dictated by our capital needs, liquidity and sort of market condition. So, we always want to remain flexible. But we are pleased with sort of where we've gone over the last couple of quarters, replacing this debt and then adding some more leverageable equity, which we -- which is very beneficial to us.
Douglas Harter: Got it. And to follow up on the leverage and getting to the 3.0 times, I guess does it take the resolution of the non-accrual to get to the 3.0 times? How close can you get before that resolution happens? Just kind of what are the limiting factors to that kind of cause or delay the timing to get there?
Marcin Urbaszek: Look, I think it's just executing on the plan. I think resolving that on accrual loan, which again is unlevered today, that's part of it. If you look at our sort of weighted average advance rate on our portfolio, it's in the 60s, right. So, we still have a little bit more work to do on improving that going forward. So, it's sort of all of the above, making the loan level financing a little bit more efficient and re-levering the capital that's sitting idle right now in the balance sheet.
Douglas Harter: Great. Thank you.
Operator: The next question comes from Jade Rahmani with KBW. Please go ahead.
Jade Rahmani: Thank you very much. I'm curious as to your thoughts regarding scale. I think that's really what explains the discount to book value, because at the current dividend, there is not enough of a return relative to book value to warrant the shares trading in line with book value. So, either there will have to be dilutive capital raise to increase the scale of the company or the dividend has to meaningfully increase. So, one question would be how you think about overall scale? How much stockholders' equity is sufficient to really get the scale?  The second question related would be just the G&A of the company. Totaled about $10 million in the quarter, so $40 million annualized. That's running at around $0.75 per share annualized, which is $0.18 per quarter. So, are there any components to G&A that could be reduced perhaps temporarily suspended or perhaps paid in stock compensation in order to increase the earnings power of the company? Thank you.
JackTaylor: Hi, Jade. Thank you for the question. Good to hear from you, your questions, I should say. I'll start off and then pass it on to Marcin. The first question about scale, I'd like to address it by talking about the deep discount that we're trading at. We think that the -- at our scale that we were before, we were trading at a much higher level, and we think that the deep discount is related not so much to the scale, but the misconceptions about the earnings power of the company's balance sheet and its business.  What we've shown in the presentation today is that we've been unlocking that earnings power over the last few quarters and are going to continue to do so. And so, supported by our well performing portfolio, we believe that this earnings power should further improve as we continue to execute on our strategic priorities. So, I'll pass it over to Marcin to answer your follow-on question.
Marcin Urbaszek: Okay. Thanks, Jack. Hi, Jade. Thanks for joining us. Look I think -- and to follow-up on scale, we have $1.1 billion of equity, right. So, from my perspective, it's not really that we're subscale, right. It's more about earnings power of the company, which we've just provided more information as to how we have improved it and we will be improving it. And to your point on G&A, don't forget, about $8 million run rate of G&A is in non-cash equity compensation. So, the true sort of cash comp expenses are much lower than that. We had a couple of one timers in Q1. I would probably estimate it to be somewhere around $0.01 per share. I would say, our sort of run rate cash costs are probably somewhere below $30 million, if you look at what they were in 2021. So I think you got to sort of look at it on sort of apples to apples on a cash basis versus total expense base, because a big chunk of that is a non-cash equity comp.
Jade Rahmani: Thank you very much. In the current competitive environment, do you think there are any changes the company should be making in terms of its target investments? Everyone has pivoted towards multifamily, that's very consensus move. Everyone has pivoted towards Sunbelt markets. But would you contemplate any fixed rate product? And more on a strategic side, there are quite a handful of mortgage REITs trading at discounts to book value. Would you contemplate any potential combinations with other companies?
Jack Taylor: I'll let Steve Alpart address the first part of your question.
Stephen Alpart: Hey, Jade. Good morning. Thanks for joining. So, look, we expect to continue to focus on what we've been doing, our floating rate senior loans, we're going to continue to focus on multifamily, as well as some other sectors, storage, student housing, warehouse logistics, currently deemphasizing office and retail. If you look at our first quarter originations, you can see it skewed towards warehouse industrial. The second quarter, which we alluded to, was about 75% multifamily.  So, we're going to continue to focus on those sectors in growth markets with good cash flow, lighter transitional business plans, a lot of repeat borrowers, continue to stay diversified by geography. So, from what we see right now, I would say, Q2 and heading into Q3, I think we'll stay on that theme. We're also seeing that spreads have widened, leverage has come down a bit, on our loans, underwriting standards are favorable, we're getting good structure. So, what we just described, we feel pretty good about what's in the pipeline.
Jade Rahmani: Thank you very much. Go ahead, Jack.
JackTaylor: Yeah. With respect to your second part of the question, Jade, as I said earlier, we were trading at much higher levels, even smaller scale than we are now. Given where our stock prices right now, we're not contemplating making any acquisitions that we would in the future look to that, if we found it accretive at the time.
Jade Rahmani: Thank you.
Operator: The next question comes from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Hi. Good morning. You guys have covered a lot already and my congratulations on accomplishing so much year-to-date as far as collapsing the legacy vehicles, repaying debt and other actions you've taken resolving DC et cetera. Kind of wanted to get some general comments and property type around office that continues to be the property types like the most questions on as far as outlook. So, if you could talk a little about the performance of the office assets in your portfolio? And then Jack, on the other side of the coin, from some of the questions, just curious to get your thoughts on stock buyback. At this discount, I know it works against your outlook for getting more scale, but would certainly contribute to pushing leverage towards your targets. So, just wanted to get your comments on that, please.
Jack Taylor: So, Steve, I'll let you go second for once, and I'll go first. It's our general policy not to comment on potential buybacks. Having said that, we're always focused on generating the best risk adjusted return and what's best for the business. There's a lot of different factors that play into it. One of the assessments of the best use of capital is of course the discount to book value that we're trading at now or might be in the future. I'll remind you and others that we've done share buybacks in the past. We do have authorization for more buybacks. There is some 2.7 million shares that are authorized. As we make this assessment, we have the ability to use those shares when appropriate.
Stephen Alpart: Hey, Steve. It's Steve. I'll take the first part of your question on, I guess, what's -- how we thinking about our office portfolio. Look, we feel generally good about our office assets. Those loans are all current at quarter end. Rent collections have been strong. We've seen the capital improvement programs are continuing, even in the face of the supply chain and labor issues that are out there. We're not really seeing any delays or blown budgets there. Leasing is clearly slowed during the pandemic, and coming out of the pandemic, it has been coming back.  It is uneven across markets and geographies. But we have strong sponsors with really good assets. We saw during the pandemic that they have real equity to protect. We've seen borrowers where it's been needed stepping up and putting more equity into their assets. We're carefully monitoring a few deals where business plans are behind schedule, and could stay behind schedule due to some of the headwinds in the office space. So, we're monitoring these assets -- some of these assets carefully, but overall, as I said at the beginning, we feel generally good about our office assets.
Stephen Laws: Great. Thanks, Stephen. As follow-up to that, you mentioned, I believe, in your prepared remarks upgraded nine loans during the quarter. Can you give us a breakdown on kind of property type or region of where those upgrades took place? It would be great.
Stephen Alpart: Sure. It's been a little bit across the board. And it's -- it was upgrades of mix of fours to threes, threes to twos, twos to ones. It's kind of across the board by asset type and geography. It included a couple of office loans and included a mixed-use loan, included a couple of hotel, some multifamily. So, it's really been kind of across the board, including office. And that was, as, I think, we said earlier, due to specific improvement in those business plans.
Stephen Laws: Great. Well, good to see that breadth across different property types in the portfolio. Jack and Steve, thanks for the comments this morning. I appreciate it.
Jack Taylor: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jack Taylor for any closing remarks.
Jack Taylor: Thank you very much, operator. And I would first like to say that we’re really pleased to be able to report today that of our recent accomplishments and that when they are fully reflected in our financial results in the coming quarters, we’ll meaningfully see benefit from our run rate profitability, and positions us well for the second half of the year as rates rise and as these results continue. And as a further reminder, we’re pursuing more embedded opportunities to potentially provide incremental benefits with the ultimate goal of delivering the attractive total returns to the shareholders. I would like to thank you all for joining our call today. We wish you good health during these continuing times, and we look forward to speaking with you soon.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.